Operator: Good morning, and thank you for standing by. Welcome to Zenvia's Q2 2024 Earnings Conference Call. Today's speakers are Mr. Cassio Bobsin, Zenvia's Founder and CEO; and Shay Chor, CFO and Investor Relations Officer. Please be advised that today's conference is being recorded and a replay will be available on the company's IR website where you can also access today's presentation. At this time, all participants are in listen-only mode. After the prepared remarks, there will be a question-and-answer session. [Operator Instructions]. Now, I would like to welcome one of our speakers for today, Mr. Cassio Bobsin, Founder and CEO. Sir, the floor is yours.
Cassio Bobsin: Hello, everyone, and thank you for joining us at Zenvia's second quarter 2024 earnings call. I'm Cassio Bobsin, Founder and CEO. Thank you all for being with us today. Let me start by sharing with you that this quarter has been a significant one for us, as [we've been] (ph) laser-focused on rolling out our Zenvia Customer Cloud solution, and I'm pleased to report that the response from our clients has been extremely positive with healthy levels of recurring revenue, churn and cross adoption. We have also introduced, in June, our GenAI chatbot solution. This cutting-edge innovation delivers substantial value to our customers, as it is so simple that a chatbot can be built in just under six minutes. I'm happy to share that in this two months since its launch, about 100 companies across eight industries in Latin America build their chatbots. We are confident this number will keep increasing. Chatbots are evolving more and more and are expected to become the primary customer service channel for at least 25% of all global businesses by 2027, according to Gartner. This shift represents not just a simple automation, but a significant enhancement of the customer experience. Here at Zenvia, our long-term vision is to revolutionize customer service and business processes automation with the smarter and more intuitive chatbots. We're leading this transformation in Latin America, offering fluid and personalized solutions that boost efficiency and enhance the customers' experience, and they're more profitable to us. In terms of next steps, additional features of our GenAI chatbot will include real-time sentiment analysis, continuous learning from past interactions, and seamless integration with multiple systems. We're unlocking endless possibilities for the future of customer experience, all with the help of AI. These advancements highlight the tremendous opportunities ahead and reinforce our commitment to driving growth and solidifying our relationship position in the market. The dedication for our team and the enthusiastic feedback from our clients attest our confidence in the transformative potential of these solutions. We're committed to continuing this momentum and exceeding expectations as we move forward. Now, I'll hand it over to Shay to cover our performance in the quarter.
Shay Chor: Thank you, Cassio. Good morning, everyone. Let's start on Slide 5. Here's a snapshot of our performance in the second quarter and first half of 2024 compared to the same periods of last year. As you can see, we are happy to report solid numbers in both periods. The second quarter 2024 results came again in line with our expectations, combining strong revenue growth and strict expense control that resulted in an EBITDA of almost R$34 million in the quarter and R$57 million in the first half. When looking at the last 12 months, our EBITDA totals R$110 million, allowing us to reaffirm our R$120 million to R$140 million full year guidance for 2024. Our revenues grew by 20% year-over-year in the second quarter of '24, reaching R$231 million. This growth was matched by a 20% increase in adjusted gross profit for the same period, while our adjusted gross margin remained stable at 43.3%. This is right in the middle of our 2024 guidance range. Our EBITDA figures also showed significant strength, with both periods recording more than double the EBITDA compared to the same period of last year, attesting our continued operational efficiency and growth. Let's now dive deeper to understand these results. Both SaaS and CPaaS kept expanding by two-digits in the second quarter and first half of '24, with the revenue increase driven mainly by large enterprise in both segments. In the CPaaS business, the performance keeps reflecting our ability to grow while maintaining profitability at healthy levels, leveraging on better cost structure. CPaaS revenues grew 22% in the second quarter after growing 23% in the first quarter and 30% in the fourth quarter of last year. This attest Zenvia quality and market leadership. Our SaaS business grew almost 16% in the second quarter compared to the same period of last year. The expansion came primarily from large enterprise customers, especially in the consulting business that has a low comparison base in Q2 '23. Looking ahead, we expect SMB clients to be the main growth driver of our new Zenvia Customer Cloud. When we look for the figures of the semester in the graph on the right of the slide, we see mostly the same picture, with growth variations that are very similar to the quarterly numbers. Let's now take a better look on how this expansion has translated into a balanced and profitable portfolio mix. We continue to pursue and convert revenue opportunities in the CPaaS business. Particularly in the second quarter, we gained some volumes with unusually high margins from certain large enterprises, expanding CPaaS contribution to our revenue mix. The second quarter number shows SaaS reaching 34% of net revenues and 42% of gross profit, while CPaaS made 66% of net revenues and 58% of gross profit. In the same quarter last year, we had just a little bit more of SaaS revenues, 35% versus 65% of CPaaS, that translated into a 50/50 participation in the gross profit mix. As you know, a higher CPaaS participation in the revenue mix impacts our margins. But I would highlight that the focus here was again on capturing volumes in CPaaS that are converted directly to EBITDA, given that we do not need additional G&A to generate that revenue. Here on Slide 8, you can see exactly what I just explained. As our growth this quarter was mainly driven by large enterprises in both segments and with a much higher CPaaS participation, we were expecting some decrease in margins. We recorded almost 38% CPaaS margins and 54% SaaS margins in Q2 '24. For the half year, the margin numbers are very similar. The lower SaaS margins are related to the mix of large enterprises with lower margins. This decrease was totally offset by the higher-than-expected CPaaS margins that we do not expect to be repeated going forward. The performance of both segments drove our consolidated margins. The adjusted gross margin remained stable when we compare the quarters. Worth noting here that we are reporting margins that are well within the guidance range, all according to our plan. And more importantly, looking at the margins as a percentage, we highlighted gross profit expanded 20% year-over-year or R$17 million, which is one of the drivers for our EBITDA more than doubling. The other driver for EBITDA expansion is our discipline on G&A execution, as you can see in the next slide. As I mentioned in the beginning of my remarks, we remain laser-focused on keeping costs strictly under control. We have been growing the top-line by double-digits without adding additional G&A, which enabled us to more than double our EBITDA in both periods. In fact, we are doing this while bringing down our G&A as a result of increased productivity. This led the G&A as a percentage of revenues to decrease to 14.4% in Q2 '24 from 19.4% in Q2 '23, representing a 500-basis-points drop, the lowest level since our pre-IPO years and a key factor positively impacting our EBITDA. When we compare the semesters, the drop was of 400 basis points, reaching 14.5% of revenues. Obviously, we are very happy with our EBITDA expansion that we just discussed, but we cannot lose sight of how this EBITDA is converted into cash. So, here we have a view of EBITDA minus CapEx. In the first half of last year, when we deducted the CapEx from our EBITDA, we still saw a negative figure. Small, but negative. This year, we generated a positive R$24 million from the EBITDA minus CapEx. Also, if we consider the midpoint of our EBITDA guidance of R$130 million for the year, and that our expected CapEx should be around R$50 million, [this index is] (ph) projected to be positive at R$80 million for 2024. EBITDA minus CapEx is a crucial metric for assessing our ability to generate cash flow from our core operations after accounting for the necessary investment in the business. These metrics not only highlights our operational efficiency, but also helps understand how well we are positioning ourselves to deleverage, fund future growth, maintain financial flexibility, and reward shareholders. Since we expect that our EBITDA will increase at a faster pace than our CapEx, as it has been the case for the last few years, we believe we will be able to start deleveraging our balance sheet by H2 of '25. Until then, we are working to obtain more flexibility in our cash flow through new debt or equity. On Slide 11, we are reiterating our guidance for the full year 2024. Our revenue growth of 19% in the first half of the year is tracking at the high end of our 15% to 20% full year guidance. In terms of margins, we are forecasting gross margin in line with '23 figures between 42% and 45%, and our first half results of 43.7% tracked slightly above the midpoint of the range. And finally, in terms of EBITDA, our first half of the year came in line with our expectations, including the seasonally weak first quarter. Considering second half seasonality, especially in Q4, we are confident in reiterating our EBITDA guidance of between R$120 million and R$140 million. To wrap up, let's talk about the next steps that we have been discussing with our Board. The conclusion of our liability management in the first quarter, which included both capital raise and debt refinance, was an important step to better align our cash flow from operations to the financial requirements we have. With greater financial flexibility, we can focus on executing our strategic planning, accelerating profitable growth, and deleveraging the balance sheet. As we roll out Zenvia Customer Cloud, that Cassio mentioned in his prepared remarks, we become even more confident that it will accelerate our organic growth. We are also preparing to expand organically outside Brazil, with a focus on Argentina and Mexico, where we already have operations and where we see high growth potential. Once again, we appreciate your continued trust as we move ahead. We are committed to building a profitable and exciting future for Zenvia, maximizing value to our shareholders. With this, we conclude our prepared remarks and ready to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gustavo Farias, sell-side analyst from UBS. Gustavo, we are now opening the audio so that you can ask your question live. Please go ahead.
Gustavo Farias: Hi, guys. Hi, guys. Can you guys hear me?
Shay Chor: We can.
Gustavo Farias: Hi, everyone. Thank you for taking my questions. Two questions from my end. The first one regarding the migration of the client base to Zenvia Customer Cloud. I'd like to know if you could put more color on how has been the feedback from clients, what kinds of clients you expect to have going forward in terms of large enterprise versus SMB. Just to confirm, my understanding, your focus will be on SMB. Just like to confirm that. And the second one is regarding the client-base cleanup that you mentioned this quarter on the report. I'd like to know if it's already over, or should we expect some more base cleanup for next quarters? That'll be it. Thank you.
Cassio Bobsin: All right, I'll take the first part of question, and then Shay will take the second part. So, talking about migration of customers to Zenvia Customer Cloud, we first started with launching this new platform for new customers. So, we have the cohorts of new customers coming from a portion of our demand generation already using this new platform. And we're seeing a very interesting increase in the usage, in retention, and cross adoption and deep adoption, which is translating it to a very, very healthy profile of these cohorts comparing to what we had on the standalone solutions before in the Customer Cloud. We've been rolling out the migration of these -- of all of our products to become a part of Zenvia Customer Cloud. So, this is a project that is being rolled out. We expect to finish that in terms of migration of products up to Q4 this year and a little bit up to Q1 next year. And at the same time, we are migrating customers from our former solutions to this new platform that is also being rolled out. We're still in the early days of that, but we're already seeing that we have a very good reception from these customers, because they are able to have access to more features. They're usually paying the same amount in the beginning. I mean, they migrate and they pay the same, but have access to more features. And as they keep using more, then we benefit from these usage with the volume-based business model that we have that make these customers be more monetized as they grow their usage. So, as we're rolling out this migration of customers, we expect that this will increase both customer retention and also customer expansion. That's what you are already seeing in the cohorts of new customers. And about customer size and profile for this new solution, we're seeing adoption from small, medium, and large companies. We have, of course, as we launched, we launched more towards SMBs. But as we are approaching our enterprise customers to -- with this new platform, we're having adoption of huge customers of this new platform. And we're very, I mean, happy and glad that they're already seeing value in this new platform. And we expect as we roll out to all of our customers, this platform to have improvement in both SMBs and enterprise in terms of both retention and expansion. And, Shay, I think you can now add on the second part of the question about cleaning up the customer base.
Shay Chor: Thanks, Cassio. So, Gustavo, pretty simple, we understand that most of what we needed to do was already done. So, we don't expect anything relevant going forward.
Gustavo Farias: All right. Thank you, guys.
Shay Chor: Hugo, I see some questions here on the web. I'll take them. I'll read them. And then, we report to see if we have live questions again. So, congrats on the progress, particularly in resolving the earnings gap. Two questions. First on margins and the other one on working capital. On margins, the company's margins for both CPaaS and SaaS vary considerably a bit quarter to quarter. Over the past three years, CPaaS margins have been as low as 20%s and as high as 40%s, while SaaS has been as low as 40%s and as high as 60%. Beyond customer size, what is the best way to think about the long-term margin profile of Zenvia especially as it scales? Cassio, I don't know if you want to go on a more helicopter view and then I can go...
Cassio Bobsin: Yeah, sure. We've been investing a lot on the integration of the SaaS solutions and expect that these investments over the last two years are now starting to leverage the growth of SaaS, as we expect this to happen in the next couple of quarters in a higher pace than CPaaS, which will naturally bring our margins a bit higher in terms of revenue mix. And the variation of margins on CPaaS, it's mainly customer mix. There's this variation of different customer profiles over time as it is mostly volume-based depending on seasonality and depending of negotiations, especially on high-volume, low-margin customers. Sometimes, we have some boost on high-volume customers with lower-margins, and this creates this fluctuation of CPaaS margins. Looking at SaaS, it's mostly about the revenue mix of different products in the portfolio as we acquire companies, and we combine that with our R&D solutions. Each has its own profile of cost structure. Sometimes, we -- what we see in the terms of variation is that one solution is growing at a faster pace and carries different margin. We expect that our margin at the long term, as we have been -- as we gave in our IPO, our long-term range will probably be beyond 50% on long term as we have -- as expected the SaaS portion of the business to become a long term majority of our revenues. But, of course, this always be combined with some of the CPaaS volumes going on that, at some point, vary the margin profile of the company.
Shay Chor: Yeah. Thanks, Cassio. The only thing I would add here is as we move more and more all the businesses to the new model on the Zenvia Customer Cloud and it becomes on a -- similar to SaaS, right? So, it's a monthly subscription. It tends to soften, especially on the pure channel side as well. So, that's the only thing I would add here. On the second part of the question here on leverage, what is the best way to think about the negative working capital? I assume there's a significant amount from telcos that continue to be pushed out since late '22. Would be useful to understand if there is any liquidity gap related to this or does the company have agreements in place to keep extending this out? So, that's a good question. We've been focusing a lot on managing our working capital since mid of '22. By nature, this business does not have negative working capital. We usually receive from our clients before or at the same time that we have most of our costs, which is the SMS that we acquire from the telcos. So, there's no negative working capital by nature on this business. Obviously that we'll always do the effort as we've been doing since mid of '22 to improve our -- both our DSO and DPO. And we'll keep negotiating every time that we see room for that to postpone the payments for the telcos or to anticipate or to do deals that we can have prepaid from clients at interesting cost. So, it's a matter of analyzing opportunities versus cost of issuing short-term debt. So, as simple as that. There's no specific agreement with the telcos, but we understand that our relationship with the telcos is very symbiotic. They depend on us, we depend on them. So, it's been a healthy relationship from this perspective. Another question here. FX losses are up significantly in this quarter. What was the driver for the increase? The main reason for these FX is that -- it has no cash impact, so just to make it clear. Basically, we have some clients that we invoice them abroad, outside of Brazil. So, what happens is that, we incur the cost in local currency, in BRL. We then invoice them and the timing between the day that we invoice them and register the invoice on our balance sheet and the day we are paid, there could be some differences. But again, since the cost is in BRL and we end up receiving in BRL, it's just a matter of accounting these effects. It's related to the operations in Brazil, not outside Brazil. Another one here. Congratulations on great set of numbers. Two questions. How is the funding gap for the next year? Zenvia need additional capital in the near term? How is Zenvia progressing with the integration of companies? And what is the work left here? Cassio, I don't know if you want to talk about the integration of the companies, and then I'll go on the funding gap.
Cassio Bobsin: Yeah, sure. About integration of these companies, we have this project we disclosed, which we called, One Zenvia, and that is basically, the project that finishes all the integrations. We are very advanced in that project. Some of these integrations already finished, and we -- and what we mean as finished is now making these products, these former products, standalone products that were originated from these acquired companies to become part of Zenvia Customer Cloud. That's the end game of these -- of whole integration process. We expect now these to be finished. The majority will be finished within the year, and we'll have some components still to be finished on first quarter and second quarter next year. But we are very proud to say that we are now in this end phase of integrations. Hence, we are already seeing some of the benefits in terms of efficiency already being translated in G&A reduction, and we expect up to the next year to still have more benefits of the integrations into our cost structure and our -- that will, of course, be reflected in the profitability of the company. So, we're seeing these benefit not only that, but also big -- mainly by providing a better and more complete solution for our customers. So, we're happy -- very happy to see that being finished.
Shay Chor: Second part here. So, on the funding gap, as you know, we announced earlier this year in February a liability management which included rollover of the bank loans that we had, also renegotiation with extension of the period for payment on the seller's finance related to the M&As. And finally, a capital injection by Cassio of R$50 million. One important thing about this is that one of the benefits of the renegotiation especially in the seller finance is that we are able at the discretion of the company to convert up to R$100 million into equity if needed to accelerate the deleveraging of the balance sheet. So, with that said, it's part of our job to continue looking for alternatives, especially in terms of financing and alternatives to continue doing liability management if there are alternatives there. The fact that we are increasing the part of our -- the mix of our revenues that is subscription versus usage improves a lot the credit profile. So, it puts us in front of us alternatives that we didn't have in the past. So, that's something we've been looking all the time. And in terms of equity, we need to be opportunistic. So, we have an ATM, at-the-market, program running. So, if there is any investment that needs liquidity, the ATM is there for this reason. So, we've been very cautious on that to avoid a lot of dilution, but it's an important tool that helps us funding the business. By the end of the day, deleveraging, funding gap, everything will have to come from our capacity to generate EBITDA. Another question here. This is for Cassio. You already using, as per your comments, a lot of AI. Do you have visibility on what should we expect the next step for features on this front?
Cassio Bobsin: Sure. We have several features being deployed within the Customer Cloud platform, and they range from, as we already mentioned, GenAI chatbot generation. With this solution, customers are being able to create chatbots in an average of six minutes, and they go live within six minutes. And we have lots of customers already benefiting from that up to copiloting, which means helping sales reps or customer service agents to give better contextualized answers to customer demands and thus improving customer -- I mean, sales conversion and also improving customer engagement and satisfaction over customer support. And we have different tools being deployed also for customer context analysis, sentiment analysis, and insights from customer behavior or improvement of campaigns. And these -- all these already deployed. And we've been working on some interesting features that utilize not only the conversation with customers, but also data from past customer transaction with the customer transaction history, and what -- which correlation correlations can be made, and with -- from these transactions, so they can create better journeys that will help customers to buy more, to engage more, to renew, to avoid churn, and so forth and so on. So, we have lots of interesting things going on. The AI is very practical. We have practical use cases that are easy to understand and to utilize on a daily basis for our customers. That's why we're very happy to have this kind of technology now being made available and becoming cheaper and cheaper so we can create value for all of our customers.
Shay Chor: Thanks, Cassio. Here one for, I guess, Caio can take this one. Congrats on the G&A discipline. Is this the level we should expect going forward? Is the team size you have now enough for future growth?
Caio Figueiredo: Yes. What I expect here is minor adjustment, but the team, the structure that we have now is enough to support all the growth that we have planned ahead. So, all the growth in revenue and gross profit will leverage more than G&A that we have in place right now.
Shay Chor: Thanks. And a follow-up here for you, Caio. On EBITDA, is Q2 the level for the second half?
Caio Figueiredo: As the business, what we -- the business naturally has a seasonality, especially in Q4 due to the Christmas and Black Friday and everything. So, what we expect here is if we deliver the same EBITDA, we reached our guidance, but of course, [our aiming is] (ph) higher. So, our expectation is that the seasonality of the business will leverage EBITDA.
Shay Chor: Thanks, Caio. Hugo, we don't have any further questions here. Can you just report to see if anyone has additional questions?
Operator: Of course, Shay. [Operator Instructions].
Shay Chor: It looks like this is it, Hugo.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Cassio Bobsin for his closing remarks.
Cassio Bobsin: Thank you, everyone, for joining us this call. We are very proud and excited about what we achieved in Q2 and hoping that over the course of the year, we're able to keep our projections and our forecast, our guidance for the year. And we're building a very strong foundation for 2025. And so, I'm very glad to have all you guys on board with us. And Hugo, next call.
Operator: The conference has now concluded. Zenvia's IR area is at your disposal to answer any additional questions. Thank you for attending today's presentation. You may now disconnect. Have a nice day.